Operator: Thank you for standing by. Welcome to Flex's Third Quarter Fiscal Year 2026 Earnings Conference Call. Presently, all participants are in a listen-only mode. After the speakers' remarks, there will be a question and answer session. As a reminder, this call is being recorded. I will now turn the call over to Mrs. Michelle Simmons. You may begin.
Michelle Simmons: Thank you, Rob. Good morning and thank you for joining us today for Flex's third quarter fiscal 2026 earnings conference call. With me today is our Chief Executive Officer, Revathi Advaithi, and Chief Financial Officer, Kevin Krumm. We will give brief remarks followed by Q&A. Slides for today's call as well as a copy of the earnings press release are available on the Investor Relations section at flex.com. This call is being recorded and will be available for replay on our corporate website. Today's call contains forward-looking statements, which are based on current expectations and assumptions. These statements involve risks and uncertainties that could cause actual results to differ materially. For a full discussion of these risks and uncertainties, please see the cautionary statements in our presentation, press release, and the Risk Factors section in our most recent filings with the SEC. Note, this information is subject to change and we undertake no obligation to update these forward-looking statements. Please note all growth metrics will be on a year-over-year basis unless stated otherwise. Additionally, all results will be on a non-GAAP basis unless we specifically state that it's a GAAP result. The full non-GAAP to GAAP reconciliations can be found in the appendix slides of today's presentation as well as the summary financials posted on the Investor Relations website. Now, I'd like to turn the call over to our CEO. Revathi?
Revathi Advaithi: Thanks, Michelle. Good morning, and thank you for joining us today. As you know, this is an exciting time for Flex. There's a lot happening here. Our portfolio is continuing to evolve. I look forward to sharing with you where we are headed. But let's start with the quarter. So beginning on Slide four, we had another exceptional quarter delivering results above our guidance across all metrics. Revenue came in at $7.1 billion, up 8% versus last year, and adjusted operating margin was 6.5%. It was yet another quarter above 6%. We reported adjusted EPS of $0.87, up 13%, and that was another record for Flex. This performance reflects the strength of our differentiated business model. Let's start with data center first. As you all know, there's tremendous complexity in the data center deployment and the market needs an ecosystem of integrated products, capabilities, technologies, and services. Flex's holistic approach is resonating with customers, enabling them to build at the scale, speed, and quality demanded by the AI era, while drawing on Flex's more than five decades of experience navigating major technology shifts across industries. The growth we're seeing in data centers is being driven by rapidly expanding compute and AI workloads, and those demands are here to stay. As customers continue to scale, complexity increases. Every design choice has downstream implications across the ecosystem and requires a systems-level approach. This is where Flex is uniquely positioned to help. Our data center portfolio is built around three tightly connected capabilities: compute integration, cooling, and power. At the same time, scaling IT infrastructure adds additional layers of complexity. To scale effectively, power, cooling, and IT infrastructure must be designed to move together and adapt as technologies and workloads evolve. While many companies address individual elements of this ecosystem, very few can integrate all three in a cohesive and end-to-end way. This quarter, we reinforced that leadership through several milestones. We announced the development of modular data center systems with NVIDIA, reimagining deployment for speed and scale, as well as a partnership with LG to advance thermal management solutions designed for gigawatt-scale data centers. We also deployed our advanced rack-level vertically integrated liquid cooling at the Equinix co-innovation facility, demonstrating these capabilities in real-world environments. In addition, we introduced the new AI infrastructure platform, the first globally manufactured data center platform to integrate power, cooling, compute, and services into a modular design. This is capable of accelerating deployment timelines by up to 30%. These milestones demonstrate what sets Flex apart: our ability to understand the interdependencies and translate that insight into a comprehensive, differentiated offering that helps customers move faster, scale with confidence, and stay ahead in a rapidly evolving industry. While our data center business growth reflects where the industry is headed, that momentum extends across our diversified portfolio. Flex remains a trusted global manufacturing partner across a wide range of industries as we continue to move into higher value, more complex product categories. That also helps drive margin improvement. Beyond data centers, we continue to see robust momentum across our diversified end markets, each benefiting from long-term secular trends. In health solutions, demand for medical devices remains strong, and we saw an improvement in the medical equipment category. In core industrial, we're seeing demand in productivity-driven areas like warehouse automation and robotics, along with strength in select semiconductor-related capital equipment programs. Another area of strength not reflected in data centers is high-performance networking and satellite communication products, serving next-generation network and infrastructure platforms. So we are pleased to see that AI is driving momentum in the portfolio outside of what we include in data centers. Looking ahead, we believe in the strategic choices we have made to support both near and long-term success for Flex and our customers. We continue to expand and optimize our global footprint while investing in advanced technologies and capabilities that help customers manage complexities at scale across industries and geographies. The challenges our customers face are increasingly interconnected. Whether supporting highly regulated healthcare devices, large-scale data center deployment, next-generation mobility platforms, or cutting-edge consumer technologies, success today demands speed, flexibility, and resilience. Flex is well-positioned to adapt as markets evolve, technologies mature, and customer requirements continue to change. We see ourselves as a strategic enabler, helping leading brands navigate complexity, improve performance, and scale with confidence in a fast-moving world. Now I'll turn the call over to Kevin to walk through the details of our financials.
Kevin Krumm: Thank you, Revathi, and good morning, everyone. I'll now review our third-quarter performance, which reflects disciplined execution and continued progress against our strategic priorities. I'll start with our key financials on Slide eight. Third-quarter revenue came in at $7.1 billion, up 8% year-over-year, driven by continued strong performance in data center and improving momentum in our Industrial and Health Solutions businesses. Adjusted gross profit totaled $690 million, and adjusted gross margin improved to 9.8%. Adjusted operating profit was $460 million, with adjusted operating margins at 6.5%, up 40 basis points year-over-year, a record for Flex. The margin improvement reflects disciplined cost management and our deliberate shift towards higher value products and services. Finally, adjusted earnings per share for the quarter increased 13% year-over-year to $0.87 per share, underscoring strength in our execution. Turning to our quarterly segment results on the next slide. Reliability revenue accelerated this quarter, totaling $3.2 billion, up 10% year-over-year. Power continues to drive strong growth alongside core industrial and health solutions. Adjusted operating income improved to $233 million, and adjusted operating margin was 7.2%, up 50 basis points year-over-year, driven by power and core industrial. Agility revenue totaled $3.8 billion, up 6% from the previous year. Data center-related end markets continue to drive strong growth but were partially offset by softness in our consumer-related end markets. Adjusted operating income was $239 million, and adjusted operating margin for the segment was 6.3%, unchanged from a strong quarter in Q3 last year. Moving to cash flow on slide 10. Cash flow in the quarter was $275 million, showing robust conversion driven by efficient working capital management. Inventory was up 5% sequentially and up 5% year-over-year. Inventory net of working capital advances was fifty-six days, flat from the prior year. Net CapEx totaled $145 million, or approximately 2% of revenue. And we repurchased around $200 million of stock in the quarter, which was approximately 3.3 million shares. Our capital allocation priorities remain unchanged. We are committed to maintaining our investment-grade balance sheet, funding strategic investments to support organic growth, and pursuing accretive M&A opportunities while returning capital to shareholders through opportunistic share repurchases. Turning to our full-year guidance on slide 11, for Reliability Solutions, we expect revenue to be up mid-single digits, driven by strong data center power demand and solid growth in core industrial and health solutions. For Agility Solutions, we expect revenue to be up mid-single digits, driven by continued strength in cloud, offset by softness in demand for consumer devices and lifestyle. Finishing with our guidance for the fourth quarter on Slide 13. We expect to exit the year with very good momentum. We anticipate Reliability Solutions revenue to be up low double digits to mid-teens, driven by continued strength in power and further growth in core industrial and health solutions. We expect Agility Solutions revenue to be up low to mid-single digits as cloud and networking growth is offset by softer demand for consumer devices and lifestyle. As we enter the last quarter of our fiscal year, we are pleased to see our team's hard work translate into meaningful progress against our strategy. Our disciplined execution and focus on portfolio management are reflected in our full-year results. For the fiscal year, we now expect the following: Revenue to be between $27.2 billion and $27.5 billion, which is $350 million higher at the midpoint versus our prior guide. Adjusted operating margin of approximately 6.3%, adjusted EPS between $3.21 and $3.27 per share, a midpoint increase of $0.11 per share, and finally, anticipate further strong cash generation and maintain our guidance of 80% plus free cash flow conversion for the year. Moving to our segment outlook for the year, for total Flex, we expect revenue to be between $6.75 billion and $7.05 billion, with adjusted operating income of $445 million to $475 million. We expect an adjusted tax rate of 21%, and finally, we anticipate adjusted EPS to be between $0.83 and $0.89 per share on approximately 375 million weighted average shares. As we close FY '26, we remain focused on disciplined execution, margin expansion driven by our product and services mix underscores the resiliency of our model and with our improving revenue momentum positions us for continued profitable growth in FY 2027. With that, I'll now turn the call over to the operator to begin Q&A.
Operator: Thank you. We'll now begin the question and answer portion of today's call. A reminder, we ask that you please limit yourself to one question and one follow-up. Our first question comes from Ruplu Bhattacharya with Bank of America. Please proceed with your question.
Ruplu Bhattacharya: Hi, thank you for taking my questions. Revathi, you're seeing strong growth in data center. Where do you see the bigger opportunity? Is it in power or in compute? And correspondingly, where are you focusing Flex's investments this year? I ask because as we look out over the next couple of years, there's a bunch of new AI programs that are scheduled to come online. Do you think Flex has the opportunity to benefit from one or more of those? And does Flex have the manufacturing capacity to handle these opportunities, or do you expect to need to retrofit any facility to handle more AI-related work? And I have a follow-up.
Revathi Advaithi: Thanks, Ruplu. First, you know, we're really thrilled with the performance that we're showing across all the business segments that we have. Now with regard to data centers, we're still in line with a very strong year-over-year growth that we talked about earlier in the year, and we'll update that at the completion of the full year next quarter. This year, if you look at our investments, first thing is both power and compute are growing very, very strongly, whether it's embedded power or critical power or the compute side. For the year, if you look at it, our investments, I would say, have been in both parts of our businesses. Power has been more heavy this year in terms of investments for capacity, but we expect that because of the large AI infrastructure spend that you continue to see and new programs coming on board for compute, that we will be investing more in compute capacity in the next few years. But that is normal, Ruplu, as far as I'm concerned. Right? Some years, one segment will be a little higher investment than the other. As you add in capacity, you digest that capacity, and you move forward. So next year, I think we'll be adding probably more capacity in our embedded power business. Not as much in our critical power business because we'll be digesting the capacity we're adding this year. And then, you know, we'll have to continue to add capacity in compute because of AI programs coming into play, as you just mentioned. So, yeah, I think that's a continuous process. It's a good problem to have with the tremendous growth we're seeing. So we're pretty excited about the opportunity.
Ruplu Bhattacharya: Okay. Thanks for the details there, Revathi. Can I ask a follow-up? You guided fiscal 2026 operating margins to 6.3%. I'm wondering conceptually, is there a ceiling on how high operating margin for Flex can go, given the business mix that you currently have? I mean, you've done a great job focusing the company on the longer life cycle, higher margin segments. Do you think it would be now strategic to maybe focus Flex more on AI and other higher growth opportunities? And maybe exit completely the lower margin consumer-related segments? Thanks for taking my questions. Appreciate it.
Kevin Krumm: Hi, Ruplu. This is Kevin. I'll take the first stab at answering this question. I would say that we got this question last year at this time: Are our margins stable and sustainable? And I would say last year, we looked into this year, we answered it, yeah, we believe our margins are sustainable when you look across our underlying business units. And then we expect underlying business units to continue to drive margin improvement. Plus, there'll be mix impacts. So when you look at our margins this year, I think we've delivered against that. Our underlying businesses have improved from a margin standpoint, and we've seen positive mix impacts. As we go forward here, our answer isn't going to change when you look across our business units. We expect them to continue to deliver margin expansion year on year, and we expect there to be mix impacts in our business. So, that's how I would answer your question right now. As it relates to the overall portfolio, we're comfortable with where we are. I'll leave it at that.
Revathi Advaithi: Yeah. Ruplu, I'd say the only thing I'd add is all of you know that we got to the 6% a year ahead of the long-term guide that we had given. And, you know, it is the continued focus on shifting our mix, which is exactly what you're talking about. And, you know, we make investments into the highest areas of return and the highest areas of growth. And that has driven the mix shift and improved our operating margin. Now with the growth in data centers continuing to be strong in the next few years, I think you'll see that mix shift. But we've also done a tremendous job on productivity, and I expect with AI implementation in our own facilities, that'll also continue to be strong for us. So more to come on Investor Day in May, in terms of long-term guide on margins, so stay tuned for that.
Ruplu Bhattacharya: Okay. Thank you for all the details. Appreciate it.
Operator: Our next question is from the line of Samik Chatterjee with JPMorgan. Please proceed with your questions.
Samik Chatterjee: Yes. Hi, thank you for taking my questions. Maybe, Revathi, I appreciate your comments on the Power business. Doing robust growth right now. If you can help us differentiate a bit between Embedded Power and Critical Power, just in terms of what you're seeing from a competitive landscape perspective? Where do you see sort of more opportunity for share gains for Flex? Is it more on embedded and critical? And where do you see more opportunity to, like, gain large customers, large cloud customers that would make a more material impact on that growth or inflection growth? Sort of help us just differentiate between the two as much as you sort of have a high margin business across both of them. And I have a follow-up.
Revathi Advaithi: Yeah. Samik, again, we'll talk more about this in our investor day. But at a high level, I would say both businesses, embedded power and critical power, are growing very, very strongly, right, through this year. So we feel good about that. Critical power is driven by, you know, it's all about, you know, how quickly can you manage your lead times, how quickly can you manage installations. Innovation does play a role, but it's all about kind of putting these large power pods in. Schedule management is a huge part of, you know, what people expect from that particular group of products, and we compete with the traditional electrical players that you all know about. I would say the embedded power is very different in the sense that it is going through a huge technology shift with what is happening in the 800-volt DC category, larger one-megawatt deployments in terms of rack power itself. So big technology shift that is happening there. We are at the forefront of that technology shift. There are only a very small group of competitors who play in that space, which is a significant advantage for us. And, you know, we're very excited about the changes that are happening in 800-volt DC and larger megawatt deployments that are happening across hyperscalers. So I would say that business is growing very well. We expect that to accelerate with these large power deployments and, you know, power-hungry data racks that are happening. So in both spaces, we're seeing strong growth, and, you know, the 35% guide this year is pretty strong. And if it continues at a pretty double-digit pace, I will be quite excited about the growth in these categories. But I would stay tuned for what comes out of Embedded Power just because of the technology shift that is happening and the very small set of competitors in that space.
Samik Chatterjee: Got it. Got it. No. Very helpful. And for my follow-up, the full-year revenue guide expectation for Agility was sort of walked down a bit, and I'm assuming it's the consumer end market being soft that's sort of probably impacting it. But it's a bit more also a bit surprising on the flip side to see not more upside from the compute side to sort of offset that where you're clearly growing much faster in power, and that's driving the reliability acceleration. But as you didn't have as much upside on compute to offset that. I mean, anything going on specifically on that front? Because the cloud companies have obviously been pretty strong in their spending. So anything you can help us there. Thank you.
Revathi Advaithi: No. Actually, I mean, we're very pleased with the Agility's kind of growth, and if you think about it, first is I'd say, data center growth remains on track for what we have said for the full-year guide. And we will update that when we finish the year. And so that remains on track, and we are comfortable with that. I think the additional upside that you are seeing in agility is driven by kind of what is happening in high-speed networking or network interface cards. And I'll just remind you that we don't include those end markets in our data center business. But these are data center-related infrastructure deployments that are happening, that is really driving very good growth for agility. The place that I see softness for agility is basically consumer-related end, which is lifestyle and consumer devices. So very pleased with the growth in data centers. And data center-supported infrastructure like networking or NIC cards that we don't report in our overall data center numbers. So, you know, I'd say really strong growth and agility just offset by consumer end markets.
Samik Chatterjee: Okay. Great. Thank you. Thanks for taking my questions.
Operator: The next questions are from the line of Mark Delaney with Goldman Sachs. Please proceed with your question.
Mark Delaney: Yes, good morning. Thank you very much for taking the questions. First, I was hoping to better understand if Flex is already seeing material upside that it would attribute specifically to the Amazon warrant deal that you reached in calendar '25? And if not, when might that be additive to your business in a more meaningful way?
Kevin Krumm: Hey, Mark. This is Kevin. I'll take the first part of your question. Short answer is the warrants are not incremental, nor were they expected to be materially incremental to FY 2026. So it's really that program as we move forward is where we'd expect to see that. Deployments are complex, and they scale over time. And so that's kind of how we expect the up and the additional revenue to come to us.
Revathi Advaithi: Yeah. Mark, the only thing I'd add is that in our overall growth rate that we gave for the year, which is the 35% growth rate for data center, we were expecting, you know, pretty decent growth with our hyperscale customer, and it is playing out the way we imagined it to be. The only other thing I'd add is when we'll update you with kind of the customer consigned inventory mix shift, that does play into some of these growth rate numbers. But our growth with AWS is very strong, and it's going as expected. And we continue to expect to see that growth rate continue into the next few years. And then more to update that in our investor day.
Mark Delaney: Very helpful. Thank you both. And my other question was on margins in the Reliability segment. You spoke a bit already around company-wide margins and the longer-term path you're on. You spoke a bit about mix, but reliability margins were quite strong over 7%. Want to better understand if there's anything episodic in reliability margin that might be more one-time in nature? Or is this just indicative of mix and some of the longer-term potential of that business segment? Thanks.
Kevin Krumm: Hey Mark, this is Kevin. I'll answer that. Reliability margins in Q3 were strong. Really what you're seeing there is underlying mix impacts from continued growth in Power, year-on-year improvements in our core Industrial business, some of that's related to what Revathi was referencing earlier, which is strong performance in industrial and our non-data center-related end markets that still have exposure to some of the secular AI trends. But generally, what you're seeing in Q3 is power improvement, power mix, and strong underlying performance in core industrial. And as we move to Q4, we would expect those to continue.
Mark Delaney: Thank you.
Operator: The next question is from the line of Steven Fox with Fox Advisors. Please proceed with your question.
Steven Fox: Hi. Just a follow-up on that last question. Kevin, I'm looking at incremental margins just from the last quarter that are like 20%. You dropped like $250 million more profits quarter over quarter on $250 million of sales. So can you just maybe dig into that a little bit more? It feels like we're glossing over some pretty powerful moves there. Like, how would you force rank those incremental margins? Thanks. Then I had a follow-up.
Kevin Krumm: Steven, I'm going to have to ask a clarifying question. You're referring to Q3 margin performance noting the that we had? And sales were up $250 million plus and I'm just looking Q3 versus Q2. Profits were up like $50 million plus quarter over quarter. So that's like you're dropping 20% sequential margins incrementally. And I'm just not sure why it's that strong.
Kevin Krumm: We had a strong quarter. A lot of that is related to the question we just had, which is underlying margin performance and reliability. Our power business continued to drive margin improvement in Q3, Steven. And then we also saw improvement sequentially in core industrial for some of the reasons I said. So I would just reiterate our strong margin performance in Q3 sequentially or year on year was related to continued mix impacts and growth in our power business and continued margin improvement in our core industrial business.
Steven Fox: So not to pin you down, but should we take away that it's mainly power that drove sort of that outperformance?
Kevin Krumm: No. I would say it was power, power mix, and core industrial, Steven.
Steven Fox: Okay. That's helpful. And then, Revathi, I noticed this morning's Wall Street Journal, the headline is US manufacturing isn't is in retreat. I was curious if you could react to that headline and based on what you're seeing in The U.S. Thanks.
Revathi Advaithi: Yes. Steven, I would say we are definitely not seeing that. You know, we are not only investing in our own capacity in U.S. manufacturing, but we continue to get a lot of inbound requests from customers on future projects, you know, that require US manufacturing. So we're not seeing that at all. You know, we're one of the world's largest manufacturers. We see a lot of activity in terms of what goes on in these multiple end markets. So I would say, you know, our biggest investments are still happening in North America, and the US is continuing to expand across many of our facilities. So I have to go read that article. I haven't read it yet and see what the macros are saying, but we're not seeing that being reflected, Steven, at all in our business. In fact, most of our investments are being driven by what's expected in the US and in Mexico.
Steven Fox: Great. I appreciate that color and congrats on the great performance.
Revathi Advaithi: Thanks, Steven.
Operator: The last question is from the line of Jacob Moore with KeyBanc Capital Markets. Please proceed with your question.
Jacob Moore: Hi, good morning. Thanks for taking our questions. This is Jacob on for Steve Barger. First for most is on automotive. I think we're all glad to hear that stabilization is the trend. If we could just dig into that a little bit, what trends does that assume between unit volume versus content? And how do you think that those trends inform your view of growth from here? Do you think the automotive maintains at these levels for a while?
Revathi Advaithi: Well, Jacob, thank you for asking a question that is not data center related, but still all good. I'd say the comment on auto stabilizing was more, it's you recall what we have said in the last few quarters is that programs were at Flex were in flux, right? Because people were trying to decide what EV programs to put on hold, how to switch to some hybrid programs, or a combustion engine program. So there was a lot of confusion in terms of which platforms were going to grow for which customers. The stabilization comment is more in terms of clarity, which you can see from a lot of auto OEMs in terms of what programs are going on hold, which cars are being pulled off, and what platform investments are being made. And that helps us a lot in terms of being able to make forecasts and really understand where we see the end market growth. In terms of unit volume versus content itself, I would say in the US, well, as I know, kind of what the global car forecasts are right now. They haven't moved significantly. If anything, they have only dropped. So for us, any automotive growth actually comes from continuing to invest in future compute platforms. And because compute is needed in every vehicle, whether it is a combustion engine or hybrid or an EV, that is what drives our automotive growth for us is continuing to win in these software-defined compute platforms, which is agnostic of any platform. And that is super helpful for us. And so we like the first the stabilization and clarity of platforms, and it is definitely not unit volume. It is driven more by these compute platforms accelerating.
Jacob Moore: Got it. Thanks. That's helpful. And then the second one from us is on the effect of skyrocketing memory prices. I think naturally, more price-sensitive markets like consumer are most vulnerable to that trend. Could you just talk through any dynamics that you're planning for as memory prices jump sharply? Are you seeing or anticipating any demand effects on consumer products or other high memory content platforms?
Revathi Advaithi: Yeah. I would say the good news for us, Jacob, is that most of our customers outside of what we use in our own products in the power side are all procured by our customers directly from the memory suppliers. And so I'm sure, I mean, you hear this in the calls that the memory companies have. You know, they are selecting few end markets more than the others. So you are seeing a bigger distribution go to data centers and those types of end markets. That being said, we're not seeing a significant effect in terms of consumer end markets because those end markets are soft to begin with. So, you know, memory is not driving any kind of demand issue or supply issue in terms of consumer end markets. But I think, you know, you're hearing from memory companies that there is allocation of material that is happening, and, you know, we bake that into our forecast.
Jacob Moore: Alright. Understood. And I appreciate you taking the questions.
Revathi Advaithi: Thanks, Jacob.
Operator: Thank you. I'll now turn the call back over to the CEO for any closing remarks.
Revathi Advaithi: Thank you. So on behalf of our leadership team, I want to give a sincere thank you to all our customers for their trust and partnership, our shareholders for your continued support, and to all our employees across Flex. We're looking forward to speaking to all of you again when we report our fourth-quarter results. And most importantly, I'm hoping to see most of you in person at our Investor Day, which will be held on May 13 here in Austin. Thank you all.
Operator: Thank you. This now concludes today's conference call. Thank you for joining. You may now disconnect.